Presentation: 
Operator:
Matthias Aellig:
Marco Gerussi:
Matthias Aellig:
Operator:
Michael Huttner:
Matthias Aellig:
Marco Gerussi:
Operator:
David Barma:
Matthias Aellig:
David Barma:
Matthias Aellig:
Marco Gerussi:
David Barma:
Matthias Aellig:
Operator:
Nasib Ahmed:
Matthias Aellig:
Nasib Ahmed:
Matthias Aellig:
Operator:
Farooq Hanif:
Matthias Aellig:
Marco Gerussi:
Matthias Aellig:
Farooq Hanif:
Matthias Aellig:
Farooq Hanif:
Matthias Aellig:
Operator:
Thomas Bateman:
Matthias Aellig:
Marco Gerussi:
Matthias Aellig:
Thomas Bateman:
Matthias Aellig:
Operator:
Iain Pearce:
Matthias Aellig:
Marco Gerussi:
Matthias Aellig:
Operator:
Michele Ballatore:
Marco Gerussi:
Operator:
René Locher:
Matthias Aellig:
Marco Gerussi:
Operator:
Michael Huttner:
Matthias Aellig:
Operator:
Thomas Bateman:
Matthias Aellig:
Marco Gerussi:
Thomas Bateman:
Matthias Aellig:
Marco Gerussi:
Matthias Aellig:
Thomas Bateman:
Matthias Aellig:
Operator:
Matthias Aellig:
Operator: